Operator: You have joined the meeting as an attendee and will be muted throughout the meeting. On the Eco Wave Power's fourth-quarter and full-year 2021 earnings webinar. All participants here today are in a listen only mode and we are recording today. So that is your notification of that. I am Rob Bank of  and we are proud to support Eco Wave Power and its efforts, Investor Relations efforts. Hosting today's webinar, Inna Braveman, Eco Wave's Co-Founder and Chief Executive Officer.  Before I turn the webinar over to Inna I'd like to remind everyone that matters discussed on this conference call will constitute forward looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. These forward looking statements generally relate to the company's plans, objectives, and expectations for future operations and are based on management's current estimates and projections, future results or trends. Actual results may differ materially from those projected as a result of certain risks and uncertainties.  For a discussion of such uncertainties, please see the risk factors section as described in Eco Wave Power's registration statements on Form F1 filed with the SEC, which is available on the SEC's website at sec.com. With that, I will now turn the call over to Inna. Inna congratulations on a successful productive year. The call is yours.
Inna Braverman: Thank you Rob. So I'm excited to conduct this webcast and we workied to extend our efforts to connect to the shareholders and to impact investors globally. I'm glad to be here today and announce that we're considerably closer to achieving our mission of changing the world, one WAVE at a time. I'm particularly proud of our team for advancing this important initiatives despite the pandemic, which created a whole new set of challenges. We believe that the world needs our technology and that there is growing recognition of the importance of WAVE energy. And during the year 2021, we kept pushing towards achieving our goal. This was evident by our significant progress with our soon-to-be grid connected WAVE energy power station. The EWP EDF One Project in the port of Jaffa in Israel. Currently, we have all floaters manufactured and installation of the floaters to the sea wall has begun. We also finalized the electric groundwork to enable the connection of the power station to the electrical grid.  The new WAVE energy array will be an improved and upgraded version of our existing technology, which will be officially operational -- IL an investments from the Israeli Energy Ministry, which officially recognized our technology as pioneering technology. This will be the first time in the history of Israel, this wave energy, or electricity from the WAVE will officially connect to Israel's National electrical grid. Also in Israel, we announced that we entered into collaboration agreement with the procurement administration in the Israeli Ministry of Defense for the Israeli Navy to examine the feasibility of installing the EcoWave Power technology at Navy bases, which may open a whole new potential market segments for Eco Wave Power. According to the terms of the agreement, Eco Wave Power already procured wave measuring system. And it's coordinating with the Navy for the deployment of the systems to collect extended wave data in one to three locations at the Navy bases. While the Navy we secured all premise for the deployment of the wave measuring equipment. The Navy's specialized diving team will install the measurement equipment in the territorial waters of the Navy basis. At the end of the measurement period, Eco Wave Power will share the information collected with the Navy, which in turn  does applicability of the technology in line with the prevailing waves in the selected sites.  Then Eco Wave Power in the Navy will jointly analyze the results and create energy production forecasts based on such analysis. To one identifying the most suitable application for installation and provided that technology is found to be feasible for the proposed locations. The Navy and Eco Wave Power, we use their best efforts to work towards the next step of the collaboration, which is the potential deployment of people WAVE Power, technology for production of cleaner electricity from the WAVE in the Navy basis. We were also able to move forward with our planned project in Portugal and Ireland, where we have secured the installation and grid connection permit for our blend, one megawatt s projects from DGEG and we've begun internal planning procedure to make the projects a reality. The Small-Production Unit registration approval is the first premise required to proceed with the excellent installation and grid connection of the first one megawatt wave energy power station on the ocean side of the Barra do Douro breakwater in Portugal.  The one megawatt project is planned to be the first stage of the 20 megawatt Concession Agreement answered with APDL in April 2020. For the potential usage of four locations owned and operated by APDL. Recently we hosted Portugal 's ambassador to Israel, in a first ever visit to our new power station in the ports of dock in Israel. Ambassador George Kabral express excitement as seen, our next major projects come to reality in his home country. Moreover, in order to accelerate the progress of our Portuguese plant projects, Eco Wave Power appointed Pedro Ernesto Ferreira as head of its Portuguese operations. Pedro brings a wealth of experience from leading advanced energy organizations in Portugal. Presently he's an asset management specialist at EDP, the electrical company of Portugal. His main responsibilities include supervision, management, and operation of all EDP's hydroelectric power plant in Portugal.  He holds a master's degree in electrical computer engineering from the faculty of engineering of the University of Porto and working towards the PhD on sustainable energy system. While progressing with our existing projects, we have continued to expand our projects pipeline. Today, there are over 325 megawatts of potential projects in our pipeline. The experience that we have gained in our Gibralta pilot plant, combined with the project that we're making at the port of Jaffa and in Portugal, and coupled with rising energy cost particularly due to the geopolitical changes in Eastern Europe are driving increased interest in our renewable practical Wave energy solutions. Accordingly, we're adding new potential projects to our pipeline regularly and interest is at an all-time high. One such project is our newly signed collaboration agreement with AltaSea in the port of Los Angeles. According to which, Eco Wave Power plans to implement a pilot projects on AltaSea 's campus. In Europe, we also continue to expand our already significant projects pipeline. We've secured several high-profile grants, including a grant from Innovate UK, which we jointly submitted with the University of Queen Mary of London and a grant that is a part of the ILIAD consortium, by the European Green Deal.  We also expect to announce some new and exciting Concession Agreement for new project in the European continent in the near future. At the same time, we are reinforcing our technology in the European market. We're also focusing significant resources on introducing our technology to the U.S. market. Now, is the time to introduce our game changing technology to the U.S., especially following Eco Wave Power's listing on the Nasdaq Capital Market (stock symbol: WAVE). We believe that the U.S. will be one of the most important market for Eco Wave Power.  As according to forecast, wave energy alone has the potential to provide 66% of all the U.S. energy needs. The growing interest and awareness for wave energy in the United States, is also emphasized by the new legislation initiatives announced by New Jersey State Assembly man Robert J. Karabinchak on January 20th, during ECOWAVE followers of vision based ringing ceremony on the Nasdaq Capital Markets, Assembly man Karabinchak, presented easy sense to introduce new legislation initiatives to include wave energy in New Jersey's energy master plan and to help New Jersey become the first U.S. based or territory who have a commercial wave energy group of context.  Another positive indicator for Eco Wave Power in the United States is that we were selected as a family as part of the coordination with other regional stakeholders in the 1 billion being better regional challenge, led by the Los Angeles county economic development corporation. We also formed the operations with ocean power technologies. Obviously traded Marine NFC data and service solutions company. We will work together to utilize OBD, complementary technologies and skill to accelerate wave energy projects. Our collaboration will include several initiatives, including knowledge sharing, joint ground submissions, and assistance in entry to new markets. In addition, we would explore joint solutions, utilizing each company's respective offshore and onshore technologies and taking advantage of OPT's offshore engineering and newly acquired robotic capabilities in future, Eco Wave Power closes. Given all the progress, that I've presented, I believe this 2022 will be a year of significant progress as we plan to have important events, such as the official opening of the EWP  one project in the port of darker in Israel. Significant progress with the one megawatt project in Port of Portugal. And we will acquire to have  as in the port of Los Angeles, and we expect the announcement of new projects, strategic collaborations, and grants in Europe and the United States. Due to the significant land work in the year 2022, our company decided to focus on the specific, high impact goal to be able to show the largest achievements in the most efficient way. These will be achieved in the following ways. First, we will be focusing on our most advanced projects. We will accelerate towards the opening of our Israel project, accelerate our plan pilot project with alter-C in the port of Los Angeles and commence decent planning for our first one megawatt projects in Portugal. We also plan to expand our marketing, sales, business development and engineering team with experienced professionals, in order to be able to achieve more goals, and do it faster. Our business development and safety, will be focusing more on the European Union and the U.S.. territory. And on strategic partnerships, such as our collaboration with EDF Renewable as  of the French National electrical company, and the Israel Navy, which we believe at this time bring the highest value for Eco-power. We also plan on leveraging the EWP clients’ capital position by some medium . And we've learned to reinforce our revenues and fiber expense projects pipeline by continuing to provide new services such as feasibility studies, we have already use it first revenue in the year 2021. Moreover, as announced on Friday, February, 20th 2020 we plan to also focus on our recently . As such, we announced on Friday that we plan to apply for the listing in Sweden in three months from the announcement dates. When finalizing the decision  we believe Eco Wave Power common shares from Nasdaq, Fresno’s. The board of directors of the company considered the higher liquidity of Eco Wave Power securities on the Nasdaq U.S.. in comparison to Nasdaq First North, as well as the desire to have all our shares traded on 1 May stock Exchange. I have seen that these news created some potential confusion with our shareholders on Nasdaq Stockholm. I would like to clarify four important items: 1. is that we still did not submit the delisting application. It will be submitted to Nasdaq only three months from the date of announcement, which was Friday, February 25, 2022, 2. Our shareholders can convert their common shares into American depository shares listed on Nasdaq Capital Market at any given time, 3. Our company has reached an agreement with the Bank of New York Mellon, the depository of our American Depository Shares, to enable of all shareholders on Nasdaq First North, to convert your shares to ADSs free of charge for 90 days from the date of the company submission of its delisting application to Nasdaq First North. Basically, we will submit the delisting application only in about 90 days. And after that, you will have an additional 90 days to convert your shares to American Depository Shares free of charge. Moreover, please note that we plan to keep the electronic number of the Swedish common shares in full. Meaning, that you will be able to keep your Swedish common shares in their current format. And you are under no obligation to take any action. Only when you would like to trade the shares, you will need to convert it to American Depository Shares. I hope I did that explanation is clear, and if you have any additional questions, please feel free to contact our company directly and we would love to provide you with information or assistance as maybe necessary. I would like to conclude by saying that when David Leb and I co-founded Eco Wave Power, WAVE was either an impossible sector. Most of the technologies were operating in the offshore, and it created significant problems. The first problem was a very high cost of the equipment.  When you put something in the offshore, the costs are sky-high, unique and diverse and cables and moving which does not make a very rational price to the offshore wave energy system at the moment, the second problem was low reliability with high-profile failures. In the offshore, there were rate hype of 20 - meter and even higher and unfortunately no man made -- we've spent that you stationery in the offshore can survive the lows of 20 meter rate hike. So there was a lot of breakages and survivability problems. The first problem was in securing insurance. And because the ultra installation was third spending and breaking down on a regular basis, insurance companies were reluctant to insure the internet. Environmentally, which we're supposed to be the greatest importance and proponent of wave energy regularly object on it because we created a new presence on the ocean floor which disturbed the marine environment. And then begin a big question mark on whether also WAVE that you can even connect to the electrical grid because the offshore company's book so preoccupied with trying to lower the cost and up the reliability that most of it then we didn't even get the sense to connect to the electrical grid. With the Gibraltar project that we have constructed in 2016, we proved then we can build for much lower cost than the offshore competitions. We proved the reliability of our storm protection mechanisms. When our -- when the waves are too high for the system to handle, our floaters automatically rise above the water level and locking the upper position until the storm passes. And only when the storm passes, the floaters commence operations. Similar to wind turbine which slows down when the wind is too strong for the power station to handle. We also proved that we're able to secure insurance from a reputable insurance companies. And we've proved that we can safely connect to national electrical grid without causing any damage, without any high-cost involved. And we're 100% environmentally friendly as we do not connect to the ocean floor, we only connect to a resistant, man-made structures such as piers, breakwaters, steadies and other types of structures. This year, we will aim to prove it again on an upgraded site at the port of Jaffa in Israel. In 2022, we expect that you will see that project come to full operation and other tangible progress at our first megawatt scale plant in Portugal. Our next big goal will be to proof that wave energy can produce significant energy amount and become profitable. Finally, you should expect to see Eco Wave Power advanced our operations in the United States and Europe as we pursue these much larger market, I believe that this will be the year that our goal of changing the world, one wave at a time really takes off. I have never been more excited. Thank you.
End of Q&A: